Operator: Ladies and gentlemen, thank you for standing by. I have been asked to begin this call with the following Safe Harbor statement. During this conference call, Urban One will be sharing with you certain projections or other forward-looking statements regarding future events or its future performance. Urban One cautions you that certain factors, including risks and uncertainties referred to in the 10-Ks, 10-Qs and other reports it periodically files with the Securities and Exchange Commission, could cause the company's actual results to differ materially from those indicated by its projections or forward-looking statements. This call will present information as of November 12, 2020. Please note that Urban One disclaims any duty to update any forward-looking statements made in the presentation. In this call, Urban One may also discuss some non-GAAP financial measures in talking about its performance. These measures will be reconciled to GAAP either during the course of this call or in the company's press release, which can be found on its website at www.urban1.com. A replay of this conference will be made available from 1:00 p.m. Eastern time today until midnight on November 15. Callers may access the replay by calling (866)-207-1041 or international callers may direct dial at (402)-970-0847. The replay access code is 8586903. Access to live audio and a replay of the conference will also be available on Urban One's corporate website at www.urban1.com. The replay will be made available on the website for seven days after the call. No other recordings or copies of this call are authorized or may be relied upon. I will now turn the call over to Alfred C. Liggins, Chief Executive Officer of Urban One, who is joined by Peter D. Thompson, Chief Financial Officer.
Alfred C. Liggins: Thank you operator. And also joining us today, as usual, is Chief Financial Officer for TV One, Jody Drewer, our Chief Administrative Officer for Urban One, Karen Wishart and General Counsel, Kris Simpson. We have released our third quarter results and I couldn't be happier about our performance in the midst of this awful environment and a raging pandemic. Our team has done an extraordinary job of pulling together, managing an environment of layoffs and furloughs and cost cuts but also at the same time figuring out ways to grow our revenue and our EBITDA piece of the pie in the midst of a significant downturn. In Q3, we were able to actually eek our some EBITDA growth when most companies have seen significant downdraft. The hardest hit piece of our business was the radio business. We are starting to see that bounce back in a significant way. But our TV and our digital business and our syndicated radio business, Reach Media, performed exceptionally well. The political advertising environment has been nothing short of the extraordinary. Our target audience is in high demand. If you haven't seen the news stories about black voter turnout where across our entire platform we are scheduled to probably post north of $20 million of political revenue. The fact that we are able to have such a large shares than we traditionally get of political revenue is allowing us to also get more comfortable with putting out an EBITDA guidance number for 2020, which we, in the press release, have noted is somewhere between $125 million and $130 million of full year EBITDA. By comparison, that EBITDA number last year was about $133 million. So in the midst of a pandemic, not off that much at all which also is going to allow us to, at the end of the year, have a lower leverage ratio than we entered the year with. There has been a lot of pain and suffering that has allowed us to achieve this and I am really proud of the team and all the employees that really banded together to get the company through a very tough time. I am going to let Peter go into the specifics on the numbers and then I will come back and talk about the swap that we did recently announced with Entercom and a few other things. Peter?
Peter D. Thompson: Thanks Alfred. So net revenue was down 17.2% year-over-year for the quarter ended September 30, 2020, at approximately$91.9 million and this is up 20.9% from second quarter revenue. The radio segment net revenue was down 31.9% year-over-year in the third quarter, but was up 54.3% from the second quarter. This includes approximately $2.4 million of net political advertising revenue. This is a significant sequential improvement to second quarter, which was down by 58.4% during the height of the COVID-19 shutdowns. National advertising sales for third quarter was down 21.5% year-over-year, while local ad sales were down 36%. On a same station basis, which excludes Detroit, our radio segment net revenue was down 29.7% and excluding political, it was down by 34.5% year-over-year, compared to being down 57.1% in the second quarter. Except for a Philadelphia cluster which was particularly bolstered by political advertising in the third quarter, all of our radio clusters experienced net revenue declines year-over-year, but all of which were improvements from the second quarter declines. While all categories, except for government, were down year-over-year for Q3, we experienced the biggest declines in entertainment, retail and auto followed by healthcare and food and beverage. Fourth quarter radio pacings are currently down only mid single digits on a same station basis. Excluding political are down in the high 20% range. And that's a sequential improvement of the year-over-year declines of over six points from second quarter. About $10 million of gross political advertising revenue has been booked in the fourth quarter, bringing the annual total to over $15.3 million for the radio stations alone. This is about $6.25 million more or 70% more than the company's previous record high water mark for political, which was in 2012. And across the whole platform, we have exceeded $20 million of gross political revenue. Net revenue for Reach Media was down by 29% in the quarter. Expenses were down by 48.5% with adjusted EBITDA up by approximately $1.3 million or 68% year-over-year. The majority the revenue decline was from the absence of events that were canceled this year in light of the pandemic, mainly the family reunion events. Lower operating costs are a result of the retirement of the Tom Joyner Morning Show at the end of last year along with the absence of the events notably the family reunion and also staff pay cuts and other cost savings measures. Net revenues for our digital segment increased by 3.4% in the third quarter, driven by strength in direct advertising sales at iOne Digital. This and staff salary reductions and other cost savings contribution to adjusted EBITDA growth of approximately $864,000 or 121% increase year-over-year. We recognized approximately $44.7 million of revenue from our cable television segment during the quarter, a decrease of 2.7%. Cable TV advertising revenue was down by only 1.8% or 5.1%, if you exclude political revenues. Lower average unit rates were offset by higher delivery. Cable TV affiliate revenue was down by 3.6%, with rate increases of approximately $1.2 million, offset by churn of approximately $2.1 million. Cable subscribers, as measured by Nielsen, finished the third quarter at 51.8 million, which is up from 51.4 million at the end of Q2. We recorded approximately $1.6 million of cost method income less administrative expenses for our investment in the MGM National Harbor property for the quarter which compares to $1.7 million last year, down only 5.8%. The casino reopened at the end of June with occupancy restrictions and enhanced health and safety protocols, which is actually now resulting in gaming revenue returning to very close to pre-COVID levels. So that's good news. Operating expenses excluding depreciation, amortization, impairments and stock-based compensation decreased by $19.9 million or 26.3% to approximately $55.6 million in Q3. Due to COVID-19, all in-person events scheduled to take place during the third quarter were either canceled or postponed to a later date. Reach Media events expense was down $3.1 million and the radio station events expense was down approximately $1.5 million year-over-year. We saved approximately $6.8 million in employee compensation and benefits expense through a combination of layoffs, furloughs and temporary pay cuts. We have also recognized savings of approximately $2.6 million in lower cable programming content amortization, $1.6 million in contract labor and talent cost savings, $1.4 million in reduced travel and office expenses and $1.0 million in reduced or delayed marketing spend. In addition, there were lower variable expenses such as commissions and rep fees of approximately $1.8 million. Radio operating expenses were down 31.3%. Radio SG&A, the expense line there was down 37% from lower revenue variable expenses such as sales commissions and national rep fees, cancellation of station events, employee compensation and discretionary marketing and promotions reductions. Radio programming and technical expenses were down 20.6%, mainly from lower employee and talent compensation. Reach Media operating expenses were down 48.5%. Programming and technical expenses were down 32.2%, driven by lower talent and employee compensation expenses as a result of the post Tom Joyner Morning Show programming restructure and temporary pay cuts. Reach SG&A expenses were down 71.2% mainly due to the cancellation of family reunion and other events. Corporate SG&A expenses at Reach were up $85,000 due to the timing of a bonus accrual reversal last year offset by its staff savings this year. Operating expenses in the digital segment were down by 8.8%, driven by reduced ad operations, product development and editorial content costs which include some salary reductions. Cable TV expenses were down 23% year-over-year. Sales and marketing expenses were down by $1.4 million. Programming content expense decreased by approximately $2.6 million. And compensation benefits was down $1 million. Operating expenses at corporate and elimination segment was down by 1.4% due to lower employee compensation expense and lower T&E offset by higher outside professional fees in contract labor. And that's partially due to the timing of insurance reimbursements that we received last year as a result of the consulting fees incurred following the cyber security instance last year. For the third quarter, consolidated broadcast and digital operating income was approximately $44.2 million, up 1.3%. Consolidated adjusted EBITDA was $39.6 million which is an increase of 2.3% year-to-year. Our Reach Media. Cable TV and digital segments all posted double digit percentage growth or better and adjusted EBITDA for the quarter which we think is exceptionally strong performance relative to our peers. The non-cash impairment expense of $29 million in the quarter was driven by COVID-19 impacted radio market revenue declines across the whole industry. And this write-down obviously did not affect our cash flow, broadcast and digital operating income or adjusted EBITDA. Interest expense was approximately $18.2 million for the third quarter, compared to approximately $20.2 million for the same period in 2019, which is a decrease of 9.9%. Company made cash interest payments of approximately $9.2 million on its outstanding debt in the quarter. The senior secured MGM National Harbor term loan balance increased by PIK interest of approximately $571,000. The senior unsecured term loan was paid down by total of $12.1 million and the term loan B was paid down by approximately $824,000. Benefit from income taxes was approximately $136,000 in the quarter and there were $509,000 of cash taxes paid. Net loss was approximately $12.8 million or $0.29 per share compared to net income of approximately $5.4 million or $0.12 per share for the third quarter of 2019 and obviously that EPS figure is impacted by the non-cash impairment charge. Capital expenditures were approximately $526,000 compared to $1.8 million last year. The company executed a stock-based tax repurchase of 3,195 shares of Class D common stock in the amount of $6,000. In August, the company issued 2,859,276 shares of Class A stock at an average price of $5.39 per share for approximately $14.8 million of net proceeds to the company after fees and expenses. And this cash remains on the balance sheet. For covenant purposes, pro forma LTM EBITDA was approximately $130.7 million and net senior leverage was 4.55 times against a covenant of 5.85 times. Net debt was approximately $785.6 million compared to $123.9 million of LTM reported adjusted EBITDA for a total net leverage ratio of 6.34 times. On November 9, the company completed a transaction to exchange 99% of its 7.375% senior secured notes for new 8.75% senior secured notes with a maturity of 12/15/22. This transaction extends the maturity of both the senior secured notes and the senior unsecured term loan, expanding the company's opportunity to access capital markets throughout 2021. As part of the exchange agreement, we will also reduce our outstanding debt by $25 million. $15 million will go to pay down the new notes and $10 million will go to paying down the senior unsecured term loan using cash from the balance sheet. We have increased our full year consolidated adjusted EBITDA guidance to $125 million to $130 million. As a result of the record-setting political advertising and the steady underlying improvements in radio market conditions. also stability in our network radio and the performance of our cable TV and digital advertising businesses which combined with the rigorous ongoing cost controls makes us feel better about where we are going to end the year. While further potential economic shutdowns could adversely impact this guidance, this healthy EBITDA and the company's efforts to delever and position the company comfortably to clear covenants and maintain liquidity throughout the pandemic. So as a result of the extension of the debt maturities and the increased guidance on EBITDA, we feel a whole lot better about going concern reviews and that type of issue which we took some calls and we took some questions on the last call, I think the company feels significantly more confident having made the moves we have and having had the political advertising and the improvement in our core business that we have. And with that, I will hand back to Alfred.
Alfred C. Liggins: Thank you Peter. We recently announced a radio asset swap with Entercom and I have said that I believe that the industry, the radio industry, is due for another round of consolidation and any kind of mature business consolidation where you can create economies to scale, expense savings, advertiser clout with a broader offering, that's good because we are a niche broadcaster focusing on African-American. It became clear to us that in order to continue to build scale in markets that we operate in, we are going to have to expand beyond just our urban niche. Charlotte is a market we have been in for quite some time. We had three FMs there focused on the African-American audience. Entercom had the third largest cluster in terms of revenue there but still considerably smaller than Beasley or iHeart in that market. They were doing probably about 20 revenue share and we worked out a deal to get their general market stations under our fold. They have the legendary news talk station WBT in that market, sport station WFNZ and also a legendary well-performing adult contemporary station WLNK. In 2019, those stations probably did about $20 million of revenue. COVID impacted, they are probably going to do about $15 million. And combined with ours, we are now looking at a cluster that will have approaching $20 million of revenue in that market once it's normalized and we have the ability to offer a much broader spectrum of formats to the advertisers and become a significant player. We didn't give up that much, in our opinion, because the stations that we swapped with them, we had singular positions. So in St. Louis, which was the most significant cash flow that we traded, we only had two FMs in that market and no way to get larger. And so Entercom will pick up one of those FMs WHHL and we are actually going to sell the second one to a religious broadcaster, Gateway creative, for $8 million, which is a very attractive price for us and Entercom will take the intellectual property of that second FM and put it on one of their other radio stations. And so in a market where we couldn't get any larger, we are going to exit. And in the other two markets, Philadelphia, we had three FMs and the one that we swapped to the Entercom, WPHI, was not a significant cash flow generator for us. Also, we kept our best stations in the market, our best signal in our station with the highest ratings still remaining in Philadelphia. And we think that we will be able to have similar results than we experienced in the past with the two stations instead of three. And then we swapped a sports AM that we recently bought a few years ago that was breaking even for us or slightly losing a little money this year and Entercom is consolidating the sports format in the Washington market. And we believe that, at a minimum, these swaps are going to add over $1 million of EBITDA to 2020 in addition they put $8 million more cash on our balance sheet. So we felt really good about it. It's much easier, much more efficient and productive to operate larger clusters of radio stations and we are going to look to continue to try to build out our clusters in markets that we operate in as we look for ways to rationalize the radio portfolio and create more EBITDA, all in the effort to continue to delever the company. And I think that we have been making some significant strides towards that, as indicated by what we said earlier that our leverage ratio, we feel, will end up being lower at the end of this year than where it was when we came in and having gone through and continuing to be in the middle of a pandemic. I want to say a little bit about the stock price. Stock prices are always hard to gauge and people have to determine what they think a company is worth and in the pandemic, it's really hard to judge media companies because you have got these depressed levels of revenue and EBITDA due to just the current situation of shutdowns, et cetera, et cetera. However, if you look at our company and we kind of looked at an estimated year-end debt level of about $790 million that, give or take, could change up or down a little bit. And if you take the midpoint of the EBITDA guidance that we gave, about $125 million to $130 million and take the midpoint of $127.5 million and if you use the normal trading multiple that radio companies had been trading at in the past of about seven times, if you multiply that EBITDA by seven times and subtract our debt and we have got 45.2 million shares outstanding. If the Class A shares, which trade at a premium, just stay static, don't move either way, those Class D the UONEK shares, they should be just on a normal trading multiple and the EBITDA and the debt that we forecast to have, our share should be well over $2. I don't know if the markets going to look at it that way. The stock has been trading on a lot of news and Black Lives Matter interest and a lot of retail trading. But the analysis that I just outlined is basically a fundamental look at our EBITDA times a traditional regular trading multiple, seven times which is not you unreasonable, less our debt and the number of shares that we have outstanding. The radio business continues to get better. The fact that we are only down mid single digits in Q4 is pretty extraordinary. I expect that next year the radio business probably won't get back to 2019 levels. But it will certainly be a heck of a lot better than 2020. And we expect our other units to continue to do a great job in growing their cash flow. And so will continue to delever and move forward. The other thing that happens next year at the end of 52021 is our put of MGM interest comes to full value of seven times whatever the EBITDA is going to be at the 2021. This year it's six times whatever the year-end EBITDA is going to be. I can tell you that MGM having been closed for three months is back open and doing extraordinarily well in terms of gaming revenue, even at 50% capacity. I haven't seen what their EBITDA numbers are going to look like as of yet, but all of these casinos, particularly these regional casinos, are controlling their expenses in a significant way such that a lot of them are actually having higher EBITDA levels than they did a year ago. So I suspect that the property will continue to do exceptionally well, also from an EBITDA standpoint. So we continue to do the job that shareholders and debtholders and stakeholders have charged us to do and we are going to open up the line for questions from the audience. Operator?
Operator: [Operator Instructions]. Your first question comes from the line of Jay Lee from Hsien Capital [ph]. Please go ahead.
Unidentified Analyst: Questions, just a few quick one. So one on the radio station sale in St. Louis. Can you give us an idea of what the multiple on that particular station was on kind of a BCF level?
Alfred C. Liggins: Yes. Peter can.
Peter D. Thompson: Yes. I will do that. Yes, give me a second. Hang on a second. 16.8 times.
Unidentified Analyst: Okay. Good. And then for the MGM National Harbor put interest, how much fees was on it again? Do you have that there?
Peter D. Thompson: 6.67%.
Unidentified Analyst: That's quite good. And then final question. On kind of the capital demo [ph], you guys did the bond exchange earlier I think very recently, kind of brought you another eight month or so. But how are you guys looking at or how are you guys thinking about the cap sack [ph] here, given kind of the near term maturities. You have the term loan B in 2023. You have the notes in 2022. And then you have the PIK loan in 2022 as well.
Peter D. Thompson: Yes. I think we communicate on a consistent basis with most of our large debtholders. As evidenced by the exchange that we did and we had like 99% participation, it was extraordinary and I think the general consensus, the idea is that we will re-rack, we would look to re-rack the entire cap sack in 2021, most likely once we get past the COVID quarters so that you don't have to ask people to sort of imagine that COVID didn't happen, if we can get past those numbers and lap them, then it just makes the sales job easier. But I think that's kind of the general consensus is to re-rack the whole thing. And you try to create a security also that had got some significant size so we can get more players into it. Our securities now are all kind of smallish $350 million tranche, $300 million tranche. And then I guess the sub notes are like a couple hundred million dollars. All of those are subscale and don't allow the full universe of investors to participate in.
Unidentified Analyst: And so you look at it more, assuming more of the back half to 2021, just to give you guys a few quarters of runway?
Peter D. Thompson: Yes. Look, that's my thought that you look in the back half of 2021 but let me just say this also, the capital markets are funny, like they could explode or they could be really high and people may be willing to look past the COVID numbers and investors and bankers may say that they are willing to do something now at a reasonable level. And we have got to be in a position to take advantage of that. So traditional thought process is telling me, it's the back half. But just you never know. I was always taught that you take capital when it is available and if the markets are open at a reasonable level, we will be opportunistic.
Unidentified Analyst: I know you guys talked about, I know you mentioned that you are looking to do a recalculation or a refi pre-COVID. Is that along the similar lines where a deep big tranche is --
Peter D. Thompson: No. Actually that was going to be a different now approach. We have been thinking about that. But the capital markets pre-COVID were exceptionally hot and after, I think that was our year-end release, we have been counseled by number of banks that we could have refinanced that tranche that we just exchanged, the $350 million tranche, we could have refinanced that at the time at, they gave us a level of 8% and the tranche was 7.375%. And they thought that you might be able even to come inside of that. So we were actually going to go and at a minimum just refinance that tranche, if the markets were there so we could have done all of the front-end, we would have done that. But just refinancing that tranche would have pushed out that maturity and also bumped out the term loan since it has a springing maturity feature. And so we were going to do that. We would have fronted that singular tranche trade but then COVID happened. So now, if you ask me how we are thinking about it, we would re-rack everything and look to do one bigger tranche or at least a larger singular tranche in front-end and then figure out with Carlisle who owns the back-end of our paper what we do with that maturity. They have been a great partner. And so that's the thinking today. I am not saying it wouldn't change but when we were looking at pre-COVID, we were actually thinking about doing something else which was purely a function that the market was there.
Unidentified Analyst: And then a follow-up question. So the reason why the notes were exchange for, call it, eight months or so of charges was to give you guys a little more flexibility going into 2021?
Peter D. Thompson: Yes. To give us more time to get a refinancing done and not have to be in the throes of COVID performance.
Unidentified Analyst: Okay. Very good. Thanks guys.
Peter D. Thompson: Thank you.
Operator: Your next question comes from the line of Matt Swope from Baird. Please go ahead.
Matt Swope: Yes. Good morning guys.
Alfred C. Liggins: Good morning.
Matt Swope: Could you talk about how you think about that EBITDA number? I walked through your analysis where the stock is and that midpoint EBITDA of $127.5 million but obviously that's an impacted number. What would you counsel investors to look at as they normalize EBITDA number sort of absent COVID.
Peter D. Thompson: Yes. That's hard, right. Because I don't think 2021 is going to be back to pre-COVID levels for the radio business, right. And so we have got, I am talking to other CEOs about what you do about budgeting for next year, have got you an assumption for what we think the market is going to do, but it's just that. It's an assumption. I mean, I think you will really have to look at it quarter-by-quarter. And so I don't know what the normalized EBITDA will be for next year because I don't think next year is going to be normalized, right. I can also tell you that prior to COVID, people, investors were more comfortable with, I think, the radio industry now than they were with the cable television programming industry because of cord cutting, et cetera. Thank God, we are in the cable television business because that business has performed in an extraordinary level for us this year. People sitting in the house had to watch television. Ratings are up significant level. Yes, there is still churn. But in this last quarter, churn has slowed as television is like the primary advertising vehicle for folks. And so that business is pretty resilient. So I don't want to go out on a limb and try to give folks what I think normalized EBITDA is. We as a management team, we always try to make sure that we put ourselves in a position to survive first and then we look for opportunities to thrive. And I think the performance that you are seeing this year from this team is how we think about every year. So next year won't be any different for us. I mean it's the middle of November and we are just now giving guidance. And so I would just be sticking a finger in the air for next year if I tried to give you something. What I can tell you is that we are going to have a strategy to continue to delever and to maintain our EBITDA and I suspect that I can go out on a limb and say that our EBITDA won't be any worse than this year and we are going to look for ways to grow it
Matt Swope: That's certainly fair and helpful and we appreciate you giving guidance. There's very few of our companies that have given any guidance at all. So definitely grateful for that. And measured by your comments about sort of the change in perception for radio versus cable. And is there opportunity given that in terms of maybe, you talked about consolidation in radio, what about consolidation in cable TV? Is there any opportunity for you to monetize the recent strength in TV One?
Alfred C. Liggins: I think we have monetize it. The cash flow that's coming in, we are using it to pay down debt. I mean I don't know what you mean by monetize. You are asking, would we consider selling the asset? Yes. That's certainly a question that I would never actually openly debate on a conference call. But I can tell you today, I am grateful that we own that asset. And I think I think having a diversified strategy in a media business that is being disrupted from a digital standpoint is a winning strategy because I just don't know which way it is going to go, right. There was one time where everybody was really down on the radio business. And then I watched big investors start to really be bullish on radio. I lived through that turnaround. And now if you look at the pure play radio companies, they are all going to have like on your double digit leverage levels. And their stocks are still trading as if everything is going to bounce back to normal. But look, I have got to worry about us and how people view us. And so I like the diversification strategy. So I am not looking to try to divorce myself from any of the businesses that we currently own.
Matt Swope: No, that's a helpful answer, Alfred. I appreciate that. And maybe on Peter, could I go back to the EBITDA question and you listed off a number of the costs that were down in Q3 year-over-year answer, sort of back to that EBITDA question. How much of that stuff do you think is going to come back? How much should we, between things like sales commissions and some of the incentive expenses and others, how should we think about where expenses go as hopefully we are in a happier place in 2021?
Peter D. Thompson: It's a difficult question. Obviously, I deliberately gave a fair amount of detail about where the savings came so that you can look at the different buckets. And so it's difficult because TV One programming. Obviously it's going to be suboptimal for us to continue to save at this kind of level there. We are going to need new programming. So at an appropriate time, that figure will have to be turned back on, for want of a better phrase, But to Alfred's point, we are going to manage through this next couple of quarters and see where we are at. So it's hard for me to give you a numerical answer to your question, even though I would like to, because I don't know where we are going to be with TV One programming. We want to do more obviously and the same on TV One marketing which will follow the programming. I think what we can say is, we have made a number of the furloughs permanent and obviously we laid off unfortunately some people. So there is a permanent there. But even that is a little tricky to speak to numerically once events, if things start opening up again, then you are going see our revenues go up as we start to have our big events again. And then we are going to need to bring people back in to manage those events and deal with promotions on the ground. So it's a complicated ask. And so, yes, we saved $20 million in third quarter. As I look at our forecast in fourth quarter, which might be helpful to you, I think you costs overall will be down about $8 million, but EBITDA will be up. So I am trying to give you the best answer I can. Obviously some of that's variable. I have given those numbers. But it's hard to give you how much is permanent and how much isn't. Because there is just a lot of moving parts to that question.
Matt Swope: No, that's ail helpful. And just to be sure on an apples-to-apples basis, so that $125 million to $13 million EBITDA guidance, what are we supposed to be comparing that to for 2019 like you said?
Peter D. Thompson: $133.5 million.
Matt Swope: Got it. And so as we look ahead to 2021, maybe I am trying again on what I was asking Alfred, can we think about 2021 being a better number than that 2019 number?
Peter D. Thompson: That is certainly how we are going to approach the budgeting process. That's what I will tell you.
Matt Swope: Got you.
Peter D. Thompson: And look, that's going to be a cutback and when I say that's a cutback, is because we took all these costs out in terms of salary reduction, headcount, bonuses, et cetera. So next year is going to be, next year should not be a crisis year, right. So we will load back. We have already restored salaries and things of that nature. You will give people an opportunity to earn their bonuses back. And so you have a got a bunch of costs that were unnatural that got taken out this year that you will load back and then we are going to have to then try to grow our EBITDA on top of that. But you are also not going to be dealing with the same kind of depressed revenue levels in the radio business that you had in 2020. I just don't know how much it's going to bounce back yet. We have got things like to swap that we just did in Charlotte that are going to give us EBITDA upside opportunity. We have got a number of other things that will happen. We are getting more and more distribution for our second cable television network, Cleo. We just finished renewing our Verizon deal. That's done. Cleo is going to get launched as part of that. We are about to launch on DirecTV for Cleo now. And we announced that we were getting that distribution but it's about to launch in the near term.
Alfred C. Liggins: DirecTV launched.
Peter D. Thompson: DirecTV did launch? Yes, DirecTV, what, it launched on 8th or 11th or something?
Alfred C. Liggins: It launched on the 9th.
Peter D. Thompson: Yes. It launched on the 9th. So that's up. Cleo, next year, is going to be probably in the $30 million sub arena. So now it's time to look at getting it rated which allow us to monetize. So there's these things that are opportunities that we are going to have to go out and monetize. So our goal will be in the face of all of those things we just said there, is to then go out and beat this year's EBITDA number.
Alfred C. Liggins: And that's without $20 million of political, right.
Peter D. Thompson: And that's without $20 million of political. Yes. It's got to be our goal.
Matt Swope: Does you guys base case include any events revenue in 2021?
Peter D. Thompson: We haven't. The answer is no right now. We haven't even gotten to the budgeting process yet for radio. We made a conscious decision not to really start to look at it in earnest until we get to in the December and realize how well December is doing versus last year and using that as a jump off point to start to forecast Q1.
Matt Swope: That's great. I really appreciate all the questions, guys. Thanks very much.
Peter D. Thompson: Sure.
Operator: Your next question comes from the line of Ryan Lawrence, an investor. Please go ahead.
Ryan Lawrence: Yes. Hi. I was just wondering if there are any diversification happening like getting away from cruise ships, essentially since COVID doesn't look like to be abating anytime soon and getting worse? And the casino business and other things like that and maybe advertising with some of these sporting events with the BLM movement?
Peter D. Thompson: I am sorry. I didn't hear the first part of it. Diversifying away from things like cruise ships and casinos. So I think we are responding to all of those things. And obviously, cruise business, at the moment, is thriving. So boats at a point hopefully it will have run again and those events are profitable for us. We also hold casinos in pretty much all of our markets. And that generates significant revenue and significant profit for us in a normal year. And we believe that that will come back. What we have done in the meantime in terms of diversification, as Alfred said, we just announced a sale with a radio swap where we are going to get bigger in Charlotte and some of the markets. So that will help us. I think your final point was about BLM. And clearly, there is a movement from which we are benefiting. I think that's one of the reasons that social justice issues have helped us with the amount of political dollars we have gotten this year and the folks on our audience. I don't know if Alfred has any specific thoughts on that. But that's really -- I wouldn't call it diversification. We are reacting in real time to the business conditions on the ground.
Alfred C. Liggins: So I would say, but my own personal view is, there is going to be a vaccine. They will control of this. And over time, life will go back to normal. I mean, it did with the Spanish flu, right. Is that's going to be Q1 of 2021. I don't think so. I think it will take most of next year for things to start to get back. But I do think that life will return to normal and people will gather and there will be concerts and there will be events and there will be cruises. By the way, our cruise business, it's a big revenue number but it was $1.7 million of our $133.5 million of cash flow. It's not a gigantic piece of our profitability. The casino, you have got to differentiate regional casinos from Las Vegas. Las Vegas is hurting badly because so much of their revenue and profitability is also about tourism and conventions and room nights and less about gaming. The regional casino business is about people within a 60 mile radius showing up, playing blackjack and slots. And MGM National Harbor is killing it. And so I don't want to diversify away from that. I would rather diversify more into that business than away from it. So I think the other thing is people have to look at our business. And it's hard because all of this BLM stuff and because we are black focused company, everybody is like, oh, this company is going to go to the moon, right. Well, we are in the middle of a pandemic. Most of our advertisers were shutdown. And so what our position is a black media company has allowed us to do and our diversification is to perform at an extraordinary level compared to everybody else and what happens with then in the pandemic. And so being down from $133.5 million to $125 million to $130 million, when lots of other folks got wiped out altogether, that's what our strategy has allowed us to do and what our focus is. So I see some of the chat boards where people think that our revenues are going to be up 50% because of Black Lives Matter. I mean we are still media company and businesses that spend advertising dollars are still at limited capacity or closed.
Ryan Lawrence: Yes. There are also people on the chat boards saying false things about naked shorts and pump and dump with the extreme stock price movement with June 16. So I am wondering if anyone, just to follow-up, is considering like getting more heavily involved with seizing opportunity as far as diversification or adapting to these new times? Obviously, the world will somehow return. I don't think we can ever return fully. COVID looks like it's going to morph into all kinds of things. But I appreciate what you are saying. But there's people on these boiler rooms still putting out false information that you guys are heading towards bankruptcy, which I am not hearing today at all. So I commend you on the way you guys how you have adapted with COVID. So thank you for answering the question. I appreciate it. And good luck. I do agree the casino diversification is a good move.
Alfred C. Liggins: My pleasure. Thank you.
Operator: And at this time, there are no further questions.
Alfred C. Liggins: Great. Thank you everybody. I always say this at the end. And I feel like I sound like a broken record. But Peter and I are always available offline to answer any additional questions, if you think of something that you didn't get to ask today. We appreciate your support and talk to you next quarter.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation and for using AT&T TeleConference. You may now disconnect.